Operator: Good morning, my name is Dorothy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Exelon Third Quarter Earnings Review Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session (Operator Instructions). Thank you, I will now turn the conference over to Stacie Frank, Vice President of Investor Relations. Ms. Frank, you may begin.
Stacie Frank: Thank you, Dorothy, and good morning everyone. Welcome to Exelon’s Third Quarter 2010 Earnings Conference Call. Thank you for joining us today. We issued our earnings release this morning. If you have not received it, the release is available on the Exelon website at www.exeloncorp.com. Before we begin today’s discussion, let me remind you that the earnings release and other matters we will discuss in today’s call contain forward-looking statements and estimates that are subject to various risks and uncertainties, as well as adjusted non-GAAP operating earnings. Please refer to today’s 8-K and our other filings for a discussion of factors that may cause results to differ from management’s projections, forecasts and expectations, and for a reconciliation of operating to GAAP earnings. Leading the call today are John Rowe, Exelon’s Chairman and Chief Executive Officer and Matthew Hilzinger, Exelon’s Senior Vice President and Chief Financial Officer. They are joined by other members of Exelon’s senior management team who will be available to answer your questions. We scheduled 60 minutes for the call this morning. I will now turn the call over to John Rowe, Exelon’s CEO.
John Rowe: Good morning everyone. We are delighted to report that we had another good quarter, another quarter that beats consensus at least until some of you change that consensus earlier this week. Before I get to the quarter in some of the areas I want to comment on specifically, I would like to spend just a minute refracting. This is the 10th anniversary of Exelon’s creation. The merger ComEd and PECO remains the largest and most successful merger in the recent history of the utility industry. Over that 10 years, our total shareholder return has been 107% compared to the S&P 500, which is only 2% and the Philadelphia Utility Index at 76%. We have increased dividend by almost 250% from $0.85 per share in 2001 to $2.10 per share this year. We have improved the operational performance of our nuclear fleet to capacity factors which has consistently averaged over 93% in recent years. Both ComEd and PECO have improved their reliability record and ComEd has significantly improved its safety record to more or less catch up with PECO’s. We have generated strong earnings and cash flows and continue to do so during a cyclical trough in the commodity market. We have exhibited financial discipline to maintain investment-grade bond rates even while the power markets are weak. The hedging approach of Power Team has created close to $3 billion in incremental value over the past two years to have commodity prices have suffered from. Now, all of this history of course, but we think we have created that history while building what is absolutely the best platform for future upside in our business, and we think most of you agree with that. Turning to the quarter, as you saw in our announcement this morning, we recorded operating earnings of $1.11 per share. Our nuclear fleet obtained a capacity factor of over 95% for the quarter. We were helped by a warm summer in both Chicago and Philadelphia, which contributed [inaudible] of favorability versus normal weather. With constant attention to cost control and constant efforts to lock in, attractive hedge prices helped as well. Our year-to-date results put us in a strong position for the full year. We are again adjusting our operating earnings guidance range currently at $3.80 to $4.10 and raising it to the upper half of that range or $3.95 to $4.10 per share. Hard work with a little good fortune has brought us a long way since the estimates we had back at the beginning of the year. On the last quarterly earnings call, I outlined in detail one of the key elements of our value proposition. We think we have more cleaner, lower carbon, lower air pollution power than anyone else in our industry. And we continue to believe that that power will be rewarded by better prices as EPA tightens its environmental regulations, and as the combination of both tight environmental regulations and low gas prices effect the energy and capacity markets across PJM. Let there be no doubt, EPA continues to move forward. Indeed, it is required to do so by orders of the Federal Courts including The United States Supreme Court. At the celebration of the 40th anniversary of the Clean Air Act last month, administrator Lisa Jackson reiterated her commitment to move forward with hazardous air pollution rules on schedule. The common period for EPA’s Transport Rule expired on October 1, clearing the way for EPA to move forward with developing its final rules on nitrogen oxides and sulfur oxides. Now, of course, some of my colleagues in the industry contend that this timeline must shift and there may be a case or two where that happens, but it is a very different thing to the way climate legislation that is to prevent the enforcement of hazardous air pollutant regulation, even tea party people don’t like mercury in their tea. We do not believe EPA’s enforcement activities will be greatly delayed. A change in EPA’s authority to regulate hazardous air pollutants would require rational action to overturn the Clean Air Act. Absent that sort of congressional action and action its approval by the president, EPA’s regulations go forward. Now, while many people say this cannot be, generators are already planning for the future. We have already seen announcements of more than 4000 megawatts of coal to be retired or mothballed in PJM over the next five years. This of course includes our own units at Cromby and Eddystone which will be retired by mid 2012. And we are progressing with FERC on the reliability must-run compensation until that time. There had been other announcements as recently as those by AEP earlier this week of additional smaller and older units in PJM that has been identified by their operators as “fully exposed” EPA regulations. I was wondering with my colleagues how one illustrates this the other day, and what came to mind was a picture of a ‘59 Cadillac. The kind of plants that we are talking about here from the late 40s from the 50s are as antiquated as a ‘59 Cadillac would be today and it should come as no great surprise that their life is nearing an end. We think there are about 11,000 megawatts in PJM, which are at a significant level to be retired as EPA moves forward with its hazardous air pollutant regulations. We will be prepared at the financial conference to show you the form of our analysis of this in greater detail. But when these and other retirements occur and when generators begin to incorporate the cost of additional requirements in the surviving plants, we expect to see both capacity and energy prices begin to rise. As we have discussed with you before the price at which Exelon Generation sells power is fundamentally a product with three factors, natural gas prices which we agree will be low for some time. Energy prices and capacity prices and as you know we have already seen some improvement in capacity prices in the PJM option last May. The upside in future energy and capacity prices are clearly positive for Exelon and its long-term value. We don’t know exactly how much or exactly when; if we did, we would love to tell you; you don’t know exactly how much or exactly when. But we know and you know that this is the fleet that is best positioned to prosper in the second half of this decade. That is why our operating performance, our healthy balance sheet and the yield from our $2.10 per share dividend are all the more important now, simply put Exelon offers the best upside in our industry and a dividend yield of nearly 5% as we go forward. Many of you recognize what a key value factor that dividend is, and Bill Von Hoene’s recent tour to visit you, many of you have asked can you sustain it with the earnings pressure you’re likely to experience in 2012 and 2013. While ultimately, our board is required to make a dividend decision each quarter, I have carefully reviewed our financial and market projections for the next two, three and five years with our boards at our most recent annual planning meeting. Our board shares my view with maintaining our dividend is extremely important. Neither my management nor I nor our board see a early recovery in gas prices. We see the same shale gas pressures as you do, we see the same supply in demand factors that you do. But we don’t need a big recovery in gas markets to maintain our dividend at its current level. And if gas prices stay where they are now forecasted, I believe we can maintain the dividend and continue our planned capital expenditure programs as well of course as meeting our pension obligations. My management team, my board of directors and I expect that our strong balance sheets, our careful hedging practices and our operating performance will enable us to maintain the dividend until power prices recover. And let me be absolutely clear, I personally will do everything I can do to make that happen. Our financial strength also gives us the opportunity to invest in assets that align with our strategy to be clean in competitive markets. Our agreement to acquire John Deere Renewables during the third quarter is one example of that strategy. We have been looking at wind opportunities consistently over the past few years, and up until this one, we had not seen one that met our return-on-investment criteria The John Deere Renewables acquisition presented a very unique opportunity for us to enter the wind business without compromising the coldblooded financial discipline you expect us to employ. This highly contracted portfolio provides a stable set of cash flows for the next 15 to 20 years. These cash flows are not dependent on merchant prices, which continue to be very challenging for wind operations. The acquisition gives us a credible voice as the owner of wind assets in the development of renewable energy policy, while protecting Exelon’s value as the nation’s largest nuclear operator. We have already completed the financing for the transaction at attractive rates and we expect to close the transaction by the end of the year. Turning to our utilities, I have already mentioned the reliability that PECO and ComEd continue to sustain. But let me spend a minute or two on the regulatory and political landscapes of each. PECO has now procured the remaining 2011 energy supply towards customers and reached settlements with the parties in its electric and gas distribution rate cases. The proposed rate case outcome is fair to PECO, thanks to the group work of Dennis O Brien, Paul Bonney and their team. There is only a modest rate increase of about 5% for the average residential customer, after 20 years without a distribution rate increase. I expect PECO will be in a good position to earn reasonable returns on its equity. ComEd has a distribution rate case underway. We expect the first round of testimony from the ICC staff at interveners next week. Our regulatory and legislative position continues to improve in Illinois, but we must continue to work with the stakeholders in both the legislature and the commission. To that end, ComEd filed a petition yesterday for rehearing in the appellate court on the decision relating to its September 2008 rate order. At the same time, ComEd is pursuing other solutions with the Illinois Commerce Commission to allow it to go forward with its Smart Meter pilot program. On the political side, we along with everyone else watch what must be one of the wildest elections in recent memory. We think there is a small chance of a short curve extension of the dividend tax cut during the lame duck session. We are of course working with nearly all our EEI peers on that. The gubernatorial elections in Pennsylvania and Illinois are more close and our leadership teams have good relationships with both candidates in both states. Here in Chicago, we will elect a new mayor in February. I should say very clearly that the entire business community, and particularly myself, will miss Mayor Daley. He has done his absolute best to be a fair and productive mayor and we will just all miss him. But there are a number of very qualified candidates and we have relationships with most of them. I’m confident that we’ll be able to work with whoever wins the race. Whatever the politics around us, Exelon will remain focused. We are focused on good operations and constantly improving those operations. We are focused on financial discipline, and delivering value for you. We are focused on our earnings and our cash flow and will continue to be. That focus has enabled us to deliver good earnings in each quarter this year, it has enabled us to improve our estimates for the whole year, and I am confident that focus will enable us to continue to perform to the class that we are experiencing in commodity prices. And with that, I’ll turn this over to Matt Hilzinger over to the financial drivers in more detail.
Matthew Hilzinger: Thank you, John, and good morning everyone. This morning, I will provide an overview of the results for the third quarter and highlight a few key drivers and our expectations for the remainder of the year. I will also give a brief update on the recent events in Illinois and an update on our hedging and load forecast. The key messages for today are on slide 7. Our financial results for the quarter are shown on slide 8. As John mentioned, Exelon delivered strong results again this quarter. We recorded operating earnings per share of $1.11 just above the top of our earnings guidance range. Our strong earnings performance was a result of volumes driven by weather and higher capacity pricing at ExGen, which increased on June 1st. The key earnings drivers on a year-over-year comparison basis for each operating company are listed on slides 9, 10 and 11. I won’t step through each driver during today’s call as the drivers are pretty straight forward. I will call your attention to ComEd load on slide 12, based on our normal weather results total load for ComEd in the third quarter was 1.1%, which was a bit a lower than we had expected, nevertheless our positive load was led by strong growth in the large C&I customer class primarily in the auto and steel sectors. We are pleased to see continued growth in the large C&I class, as this is positive sign that manufacturing is still growing in the region. The number of residential customers grew slightly over last year but residential was down from the prior year. We are still projecting year-over-year growth in ComEd’s load, however, we have revised our four-year load growth projection downward from 0.8% to 0.4% to reflect the actual results for the third quarter and our updated view of a slower recovery. Let me now address the recent ruling from the Illinois appellate court. Earlier this month, the Illinois appellate court issued its ruling and response to appeals filed by various stakeholders regarding the ICCs 2008 order for ComEd’s distribution rate case filing on two issues. The first issue relates to the ICC order granting ComEd a rate increase on a rate base that included pro forma capital additions, net of depreciation for assets that were placed in services after the test year or prior to the effective date of the new rates. On appeal, the Illinois Attorney General and others argued that ComEd’s rate base should be decreased by accumulated depreciation for all plants during the pro forma period. Despite a number of prior cases where the same pro forma adjustments have been made, the court ruled in favor of The Attorney General. With respect to this matter, we expect to record a pre-tax reserve of $18 million in the fourth quarter of this year, and a pre-tax reserve of about 30 million in the first half of next year to reflect revenues that are potentially subject to refund. The second issue from the appellate court ruling relates to the ICCs original order allowing ComEd to recover cost for the Smart Meter pilot via separate rider. On appeal, the court found that the use of a rider for recovery of discretionary capital spending constituted into single issue rate making and therefore it was impermissible. As a result, ComEd recorded a pre-tax charge of $4 million in the third quarter and could potentially reduce pre-tax earnings by $7 million in the first half of 2011. We anticipate that the court’s opinion will effect ComEd’s distribution rate case currently under review with the ICC. If as expected the ICC were to treat pro forma period accumulated depreciation consistent with the Illinois appellate opinion, we estimate that our requests were at $396 million increase in revenue would be lowered by approximately $85 million. In response to the appellate court ruling, ComEd filed a request for rehearing yesterday at the appellate court to reverse the court’s September 30th ruling. ComEd is also evaluating other regulatory alternatives and developing plans to address potentially unrecovered revenues in its pending rate case. Moving to PECO load trends on slide 13, PECO’s weather normal activity is up 0.5% this quarter compared to the same quarter last year and about where we expected it to be in the third quarter. The favorable load activity this quarter is primarily driven by an increase in residential customers’ average usage with the small and large C&I classes showing flat to negative growth. For the balance of the year, we’re estimating relatively moderate load growth primarily in the residential customer class. Our economic view and forecast for the year is consistent with our view of the continued slow recovery in the Philadelphia region, and we expect full-year growth for 2010 to be about 0.2%. With respect to the PECO’s rate cases, PECO resettlement during third quarter with all interested parties on its electric and gas distribution rate cases, the settlements reached provide for an overall increase of 225 million in the electric rates and 20 million in gas rates. The settlement is subject to review by the Administrative Law Judge, which we anticipate will be completed in the next few weeks. Final approval from the commission should follow by mid December. PECO’s transition to market rates will be completed when the new delivery and energy rates are effective on January 1, 2011. Moving to Exelon Generations, our detailed hedging disclosures can be found on slide 17 through 26. However, on slide 14, you can see an analysis of where we stand today compared to our ratable plan. Many of you know that we regularly evaluate our hedging decisions to ensure that we are responding to what we are seeing in the market, and also protecting our balance sheet and cash flows. Our hedging plan affords us the opportunity to add value to the portfolio through timing of our sales, regional allocation, product selection and leveraging the wholesale and retail channels. At the conclusion of the second quarter, we were hedged about 57% to 60% in 2012, which was about 11% ahead of ratable plan. There are a couple of reasons why we are ahead of ratable plan. First, in the second quarter, we saw Mid-Atlantic prices rise by 8% compared to the end of the first quarter and more so than in the Midwest region. That pricing was attractive to us, so we executed more hedges in the Mid-Atlantic region and slowed down in the Midwest region to capture that increase. By the end of the third quarter, we have seen prices in PJM West decline by about 8%. Second, we continue to pursue value added load following products that leverage the load following capability of our Generation portfolio. These opportunities are typically in the form of agreements of up to three years in duration and they are in line with our three-year ratable hedging plan. These agreements, which are driven in large part by your customers’ desire to lock in longer-term contracts are procured through various wholesale utility solicitations and our retail affiliate Exelon Energy. As of the end of the third quarter, we slowed down our hedging for 2012, and we are now 62% to 65% hedged, which is about 8% of our ratable plan. During the third quarter, we continue to see a low spot gas price environment place downward pressure on forward prices. Although, natural gas and power prices have been decreasing, prices are approaching a level where we believe there is potential upside in energy prices driven by impending environmental regulations. As a result of potential upside and because of our current above ratable position, we slowed down our hedging in the third quarter, and we expect that we will be closer to ratable level by yearend. As you would expect, we will continue to evaluate market opportunities while we monitor forward fuel and power prices and the status of EPA regulations. Moving to slide 15, which summarizes our sources and uses of cash; you can see we continue to generate significant positive operating cash flow. Our latest forecast for the year reflects our pending acquisition of John Deere Renewables Company, which we finance with Exelon Generation bond offering this quarter. In addition, the Small Business Job Act, which was signed into law last month extends the effective period for the bonus depreciation tax benefit. In fact, we have started to see an after tax cash flow benefit in the range of $300 million to $350 million with approximately a $140 million in the fourth quarter of this year and the remainder in 2011. As a result of the bonus depreciation, we reassessed our financing needs for the year and determined that the $250 million debt issuance previously planned at ExGen is no longer needed. Our updated forecast reflects a yearend cash position of approximately $300 million, which we plan to use to help fund our pension obligations next year. I am also very proud to tell you that today we closed down a $94 million credit facility with 29 community and minority banks representing a $27 million increase over the last year. This partnership is very important to Exelon, because it allows us to combine our financial goals with our commitment to diversity and strengthen our community relationships. Before I close, I’ll review a couple of items excluded from operating earnings, but included in GAAP earnings. First, we took a $0.05 non-cash charge in the third quarter for the impairment of certain SO2 allowances as a result of the proposed Clean Air Transport Rule. This EPA rule proposes a new emission allowance trading plan that severely restricts the use of existing SO2 allowances currently used in the Acid Rain Program and replaces it with new trading allowances. As a result, the value of our old SO2 allowances is close to zero. As it relates to the second matter, I’m pleased to announce that we settled the involuntary conversion and CTC matters with the IRS this quarter. The terms are consistent with the IRSs offer extended during the second quarter, so there is no additional charge to the income statement as the settlement terms are consistent with our prior reserves. As a result of the settlement, we expect to pay tax and interest totaling approximately $200 million with a $500 million payment in the first half of 2011, partially offset with a refund of approximately $300 million by the end of 2013. In addition, Exelon expects to receive a separately refund of approximately $300 million by the end of 2011, principally relating to the settlement of the 2001 tax accounting method change for indirect cost. The agreement is subject to final approval of all terms and calculations by Exelon and the IRS. The remaining tax position associated with the 1999 sale of ComEd’s fossil generating assets referred to as the like-kind exchange matter has not changed. We continue to expect that this matter will be litigated. In closing, we are very confident that we will end the year with operating earnings in the range of $3.95 to $4.10 earnings per share. Maintaining strong operating performance coupled with a close eye on our cost will position us to close out another year with strong results. We look forward to speak with many of you again in a couple of weeks during the Annual EEI Financial Conference, as a reminder our 2011 earnings guidance will not be ruled out during the conference. However, we will provide you substantial information to assist you in your evaluations including our updated hedge disclosures which will reflect activity to 2013. With that, we are now ready to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of Greg Gordon with Morgan Stanley.
John Rowe: Good morning Greg.
Greg Gordon – Morgan Stanley: Good morning, thank you very much. Two questions, the first is as you look out across the forecast horizon over which you feel that the dividend is maintainable, can you comment on your view of where your credit metrics trend, if you are in a sustained low gas environment and whether you envision having to do anything to maintain them that’s different from the current financing plan? And then the second question is, you had an extremely active M&A backdrop here this year, both consolidation of merchant generation and consolidation of regulated infrastructure, and what you see as any sort of predilection on the part of Exelon to participate or not participate in that activity?
John Rowe: Let me hit the first part first. We consider maintaining our investment-grade credit rating as the most important constraint on our ability to pay the dividend. And when we did the modeling that I described and reviewed it with our board, we believe that we will be able to sustain a 30% ratio on S&P’s key funds flow from operation over debt requirement metric. We think there might be room to sustain investment grade ratings if you fell below that to say 25%, even in a stress K in a particular stress year as long as S&P felt that that wouldn’t last for more than a year or so, but one wouldn’t like to complain on that. In looking at our ability to sustain the dividend, we’ve not only looked at what’s happening with gas prices and some variations around that. We’ve looked at our ability to adjust our capital programs, and our continued ability to manage our cost. And in that context we do not foresee having to issue equity to sustain those credit ratings. Now, you can run as many different models as we do, and you can always find one model that might require something like that, but that’s not our expectation or anticipation. And the point I was trying to make very, very carefully is in this environment payout ratios doesn’t concern me much, but maintaining an investment-grade credit rating concerns me a great deal. I’m committed to doing that, but I don’t believe it will require any extraordinary new capital actions to do that. I think the place you should look for us to try to adapt is in some of our capital expenditure plans. Now, switching to M&A, I think by now you all really know me, I have been around longer than moss on oak tree. I am always looking, because I think consolidation is a good thing and an important thing. I continue to believe that good deals remain hard to get and hard to execute. God knows we’ve tried, but we will continue to look and we’ll continue to be absolutely rabid that it has to add near-term value for you, our investors, if we are going to do anything. We believe more scale will be good. We would like to have some assets that are more counter cyclical with our merchant generation. We’d like to have more merchant generation if we can get it to a low enough price. But when we look, we look first at the financial return, second at how we can do it consistent with maintaining our investment-grade rating, third whether it diversifies our own risks, and we’re just very bloody careful like we have been for a very long time. You all know I am willing to try, you all know I’m willing to fail before I’m willing to pay too much. I’m not going to change on that. 
Greg Gordon – Morgan Stanley: Thank you.
Operator: Your next question comes from the line of Jonathan Arnold from Deutsche Bank.
John Rowe: Good morning Jonathan. 
Jonathan Arnold - Deutsche Bank: Hi, good morning. Can you hear me?
John Rowe: We can hear you...
Jonathan Arnold - Deutsche Bank: I just – I wanted to clarify one thing John, you said in describing the John Deere acquisition. You said it was – it would give you a credible voice in development of renewable policy, and also protecting Exelon’s value as the largest nuclear operator. Can you give us a little more insight into what you mean by how this helps to protect value?
John Rowe: Sure. If the government is going to continue to require people to buy wind beyond its apparent economic value; we want to be in a place to sell. On the other hand, we also want to be in a place where we can look at congressmen or a legislator in the eye and say, look we’re on both sides of this table. We can make money selling, but we don’t want our customers to have to pay too much money. And we think we have more credibility by being at the table. But let me say that that’s just a factor in all of this. What really motivates me here is we could have really very safe investment in what is in many ways a more speculative field. But as I look at the economics evolving down the road, and I’ve said this in many speeches, gas is just playing queen for the foreseeable future and almost all the purely economic decisions would be gas. My political friends on the left want to subsidize wind and solar. My political friends on the right want to subsidize nuclear and carbon sequestration for coal. And meanwhile the market says gas, gas, gas. But as we go down the road five, 10 years, some of those factors are going to change. I think the economics of solar continue to improve, and it seems to me there are possibilities, not so much in the next year or two, but in five or 10 where we have very economical packages of wind and gas or wind, solar and gas. And I would like Exelon to be positioned to do that when it’s an opportunity for either political or economic reasons.
Jonathan Arnold - Deutsche Bank: Thank you. If I could just follow up on another topic, I noticed it looked like you trimmed the spending on operates a little, but, yeah is that -- can you just -- what exactly are you doing in terms of keeping those on track given some of what you said about pricing and about the CapEx in general?
John Rowe: Chris, would you pick that up, Chris Crane?
Chris Crane: Yes, I think what we’re looking at right now is on timing, moving some projects around. But as we described, we continue to evaluate the projects and the basis of engineering are further defined on each specific one, the cash flows will be advanced and the timing will come into play. I think we will update a lot more detail at EEI when we go through our presentation. But this is just the project timing.
Jonathan Arnold - Deutsche Bank: But they still make economic sense, if you’re keeping them in the plan I guess.
Chris Crane: Yes, we’re still positive on them, they are still making sense. There will be requirements as we go along and that’s why we gave arranged on how much we want to invest on each specific asset. 
John Rowe: I mean we have stress tested with these projects, against its fairy wide variety of assumptions that may continue to make sense. But, if we should get an even worse gas price scenario than we foresee, we have to say delaying some of these things might make more sense if the choice was delaying them or cutting the dividend. But we simply don’t want to cut that dividend, it’s pretty clear what we think we owe you on that, but we are going to do our level best to keep that. Now, where this all gets tied in with the prior question Jonathan is that, as we look at this, you could get to a point of saying well should we come to you and say its worth it issuing some equity to sustain the EPU program, well we might do that if it comes to that but that’s not what we foresee in certain time.
Jonathan Arnold - Deutsche Bank: Okay, that’s very helpful. Thank you for the clarity. Can I just ask one other slightly unrelated topic, but which has really been intriguing us in the numbers? You said that at PECO you have 29% above normal cooling days and you said that was worth about $20 million after-tax to the bottom line versus normal. And last year in Q3, weather was about 6% below normal and 19 million negative, it just seems somehow these numbers don’t quite compute, I know weather adjustment is not an obviously exact science, but it feels like there should have been either lack of an impact attributed to weather in Q3 last year or considerably more benefit from weather in Q3 this year. Could you help us understand that a bit better?
Matthew Hilzinger: This is Mat Hilzinger. Yes, there is some fluctuations, particularly as you get, remember last year we had a particularly cool summer, this summer we had a particularly hot summer. I think there are some – there is always some anomalies in the calculation, but I think as we look at this year, I think there is a total of around $0.11 year-over-year on the core and about $0.06 on a normal basis. So, I don’t weather still heading [Inaudible] add to that, but that’s how we see it.
Unidentified Company Representative : Pretty much covered, it does have to do with more of the extreme weather conditions, the weather normalization primarily done over a 30-year weather normal average and what we saw last year was extreme mild conditions and what we are seeing this year is extreme hot conditions.
Jonathan Arnold - Deutsche Bank: Okay, I just thought 6% last year wasn't that extreme and 30% this year was extreme, but let's follow up off-line on that. Thank you for your time.
Stacie Frank: Thanks Jonathan. Dorothy we will take the next question.
Operator: Your next question comes from the line of Paul Patterson from Glenrock Associates.
Paul Patterson – Glenrock Associates: Good morning.
John Rowe: Hi, Paul.
Paul Patterson – Glenrock Associates: I wanted to sort of just ask you on this coal plant retirement issue. Do you see the -- do you see this impact of the regulations actually in the forward curve? And if not why not? Is it because we're seeing new generation in terms of alternatives and regulated generation coming online or demand response or energy efficiency? Is that -- what do you see actually happening in the market with respect to the forward curve and these plant retirements? And related to that, as you know, there's a first FERC NOPR for demand response that's caused some in the generation community a lot of concern. How do you see that potentially impacting power prices? Just your thought process on that and on the positive side with respect to power pricing, the PJM scarcity pricing proposal, if you could just give us a flavor as to how you think those two things might affect you guys and just the forward curve and the $64 question is whether or not we are seeing this retirement issue showing up or not?
John Rowe: My own view is that we haven’t seen very much of it in the forward curve yet, but the fact that it’s real probably explains why the forward curve for electricity market isn’t following the GAAP curve down literally. But you asked three parts to the question, and I’m trying to keep you on generalities while Ken Cornew gets his wits together to actually answer that. On demand management, we have a very clear position. If demand management is real, verifiable and deliverable and cheaper than generation, great, but our principal concern is both FERC and PJM is to make certain that which is this is that which is delivered, and penalties are proportionate, if it is not. So with that, partial answer to your question. Ken, do your best and then maybe Joe Dominguez, if you think Ken and I missed anything from, because there were three very different pieces to express.
Ken Cornew:
 : But as John indicated the forward curve doesn’t represent a great deal of price increase flow. The environmental impact of EPA regulation likely doest represent some element of it on a risk adjusted basis, and as supporting a price increase of $10 over the five-year along with all the other fundamental elements that are going on to the market. So, again, a small piece, but it probably is in there on the risk adjusted basis. On demand response and the FERC NOPR couple of points, of course the more demand response that’s introduced into the market tends to clip volatility in the market that impacts power prices. Our position on demand response is that to the extent it’s economic and competitive with other sources of generation, we are all for it to the extent the policy drives uneconomic decision to increase demand response. I think that will be there for market and there for competition. But another thing I’d say about demand response is at PJM and other RTUs are very carefully analyzing the saturation points of demand response products to make sure that the system runs reliably. And I think when you look at the demand response that’s actually figured in the last capacity market. They are starting to push closer and closer to that saturation point and PJM looks about saturation point at something around 8.5% of the capacity markets. So demand response will have its limits associated with reliability as well as what’s going on with the FERC NOPR. Finally on scarcity pricing, scarcity pricing, we think is essential for a competitive market. When there is scarcity, we should see uplift in spot power prices to incent new generation to come online, particularly peaking and capacity resources. Scarcity pricing needs tight supply and demand and so in the near term, we haven’t seen that kind of tight supply and demand that would result in a lot of scarcity pricing even if the policies in the PJM systems move into that direction with what’s happening and what we expect to happen in the capacity market and the energy market associated with natural tightening of supply and demand and EPA regulations driving more retirements. We would expect to achieve scarcity pricing to have a bigger positive impact on power pricing in the future.
Paul Patterson – Glenrock Associates: Okay, but I guess what I was wondering here is just a few things. I guess it sounds to me like you guys are not opposed to full LMP pricing for demand response, it’s just a question of whether it’s verifiable? Is that sort of what we are talking about? And in terms of the PJM, and some of there scarcity pricing proposal that they have forward. I mean, if that were to be implemented do you see a substantial potential price increase if that pricing proposal is in fact enacted if FERC goes along with that?
Ken Cornew: On the first point, we are opposed to full LMP competition for demand response. Demand responds should be compensated based on LMP minus the cost of the original generation, so that’s the LMP minus [e-com] and that’s would make sense and that’s what’s economic … 
Paul Patterson – Glenrock Associates: Alright, but if it isn’t, I guess if they go with a full LMP, which is what the FERC NOPR says, do you see a potential negative impact on power prices as a result of this and can you give us a flavor for that I guess.
Ken Cornew: To the extent it introduces on economic and more demand response, yes. We have seen a lot of impact downward on power price. The saturation point on the reliability side will keep that limited.
Stacie Frank: We’ll follow up with you.
Paul Patterson – Glenrock Associates: Okay, I don’t mean to take up too much time, thank you.
Stacie Frank: Thank you. Dorothy, we’ll take another question.
Operator: Your next question comes from the line of Hugh Wynne with Sanford Bernstein.
Hugh Wynne – Sanford Bernstein: Hi, I just wanted to follow up on the discussion of the balance sheet and the dividend. When I look at your margin, I’m sorry, your hedging disclosures from yearend and compare them to those at September 30, I see that the estimate of Exelon generation’s open gross margin was about $5.8 billion for ‘11 and ‘12 at yearend and now it’s about $4.8 billion for those same years, so down about a billion bucks. It would, one consequence of that might be an effort by the company to reduce its debt commensurately so you can maintain that investment-grade rating through those years when the hedges are rolled off. But it seems from reviewing your balance sheet and cash flow statement that although you’ve generated about $1 billion bucks this year-after-year, CapEx and after-year dividend, there’s no commensurate reduction in the total debt, at least not when I take into account what you’re going to spend for Deere. So what am I to read from that? Do you feel that your total debt is at the right level already in an environment where earnings are no longer sustained by the hedges or would you plan to bring it down significantly over the next several years?
Matt Hilzinger: Hugh, this is Matt Hilzinger. So when we look at kind of our debt level and capitalization, we look at it over our plan in horizon and there are, as you know, in ‘12 and ’13, those are challenge years. I think the numbers, the 5.8, the 4.8 are on an open basis, so we have been hedging and so there’s not quite that same reduction in cash flows that you would normally impute through just a pure open basis. And we have, what I consider to be, adequate balance sheet capacity right now. We’re projecting our FFO to debt metric at the end of the year to be about 35%. As John said, we target a range between 30 and 35. And so there’s some room to take on even a little bit more debt or take on a few or lower cash flows as we kind of go through that planning period and we spend a lot time working at that in evaluating it. And it does go into a lot of the conversation that John had raised. But no, we don’t expect to see our debt come down at all, but we do expect it to have and stay within the FFO to debt metric in 30% and 35%.
John Rowe: Matt, I think what the numbers Hugh laid out might overlook the amount of money we put into pension this year.
Matt Hilzinger: That’s true.
John Rowe: I think that might be the reconciling factor. I’m getting a couple of nods around the table. [Multiple Speaker] 
Hugh Wynne – Sanford Bernstein: I included pension and OPEB in that calculation. If you just look at net debt at yearend to September 30, including pension and OPEB, I think it's down by the better part of $1 billion. But if you subtract out the cash you raised for John Deere, then there’s not that much change. So, I think the takeaway, if I understood you correctly, is that you believe the current level of debt is sustainable in the long term even after the current hedges roll off and that you have no intention to bring it down from these levels therefore. Is that put in a nutshell or..?
Matt Hilzinger: Yes, that’s right Hugh, and I would also say that, but we are also putting on hedges going forward, right? So it’s not just having the current hedges roll off and being exposed to compete open market. As we go through a planning period and we do evaluate kind of our hedging and putting on ratable hedging positions to protect those cash flows.
Unidentified Company Representative : The ‘11 and ’12 open gross margins have been heavily impacted upwardly by our hedging program. When you are out years and you see neither [ph] of the prices increasing up here $40 by 15 and PGM was up prices getting over $50 those open gross margin calculations are going to be going up also.
Hugh Wynne – Sanford Bernstein: Great, okay, thank you very much.
Matt Hilzinger: Thank you.
Operator: Dorothy, I think we’ll let John make some closing remarks and then conclude the call.
John Rowe: Well, thank you everybody. We are very pleased with the quarters that just finished, we think this year will finish much better than it looked when we begin it. And as I said earlier that’s due to a awful lot of hard work by all of my colleagues here and a little bit of good fortune on the weather. So, we are planning as you would expect for continued soft economy and continued soft gas prices. We think, we can give you a another good year, next year and what we are really focusing on is how to make ’12 and ’13 a little better than either your models or our models to forecast them, I am confident that we will find ways to do that. And also that we’re very focused on managing our cash and resources, so we can stay in the dividend, we think 1.9% dividend plus some 20, 15 outside is a very unique value proposition and we’re going to do our best to deliver it for you. So thank you very much.